Operator: Greetings, and welcome to the Advantage Solutions Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce [ Vic Mohan ]. Thank you. And Vic, you may begin.
Unknown Analyst: Thank you, operator. Welcome to Advantage Solutions Third Quarter 2025 Earnings Conference Call. Dave Peacock, Chief Executive Officer; and Chris Growe, Chief Financial Officer, are on the call today. Dave and Chris will provide their prepared remarks, after which we will open the call for a question-and-answer session. During this call, management may make forward-looking statements within the meaning of the federal securities laws. Actual outcomes and results could differ materially due to several factors, including those described more fully in the company's annual report on Form 10-K filed with the SEC. All forward-looking statements are qualified in their entirety by such factors. Our remarks today include certain non-GAAP financial measures, which are reconciled to the most comparable GAAP measure in our earnings release. As a reminder, unless otherwise stated, the financial results discussed today will be from continuing operations and revenues will exclude pass-through costs. And now I would like to turn the call over to Dave Peacock.
David Peacock: Thanks, Vic. Good morning, everyone, and thank you for joining us. Before we begin, I want to acknowledge the continued focus and dedication of our teammates. You are advantage and your commitment to delivering for our clients and customers, especially as they navigate a complex consumer environment remains central to our success. Starting with our third quarter results. Revenues of $781 million were down 2.6% versus prior year. Adjusted EBITDA was $99.6 million, a decline of 1.4% versus prior year, a sequential improvement from the second quarter. This was the result of a strong performance in our Experiential segment, where demand remains robust. This partially offset softer trends in branded services and anticipated declines in retailer services due in part to timing shifts. We generated strong cash flow driven by our marked improvement in working capital, resulting in adjusted unlevered free cash flow of $98 million or nearly 100% of EBITDA. As a result of the strong cash flow generation, we ended the quarter with over $200 million in cash, including the proceeds from the sale of our 7.5% equity stake in Acxion Foodservice. During the quarter, we leveraged the benefits of our structurally diversified platforms, pulling levers in real time across our high-volume labor business and retailer and experiential. We meaningfully increased hiring activity to meet growing customer demand, enabling the business to execute more events in in-store retail work, which drove strong incremental margins. Our ability to respond to rapidly changing dynamics with the right data, systems and talent provides resilience in the near term, while longer term, we remain well positioned for an improving environment across our network businesses, primarily in branded services. As we move into the acceleration phase of our IT transformation and modernization effort, having implemented our new ERP and enterprise data infrastructure with Phase 1 of our SAP and our Oracle EPM environment in place, we are beginning to leverage these systems to drive efficiency gains, improve workforce optimization, increase cash flow, accelerate data integration and sharpen visibility into performance. These actions enable us to operate as a truly insights-driven organization even as we continue the remaining phases of our SAP and Workday implementations over the next 15 months. We remain committed to establishing a leading data architecture and system foundation to yield operational savings and better data-driven services for our clients and customers. We're advancing the development of our new Pulse system, an AI-enabled end-to-end decision engine designed to elevate the speed, precision and impact of our commercial decision-making across sales and merchandising. This next-generation platform will seamlessly integrate Advantage's data intelligence, including unique retail data with dynamic real-time capabilities, augmenting our team's ability to anticipate demand, prioritize actions and drive efficiency and effectiveness across client workflows. At the same time, we are deepening key strategic partnerships that enhance our technology capabilities and operational reach, most recently through our expanded collaboration with Instacart. By combining their live in-store audit capabilities with Advantage's retail execution network, we are building an alert-based retail model that allows CPG brands to quickly identify and correct on-shelf availability, pricing and display issues in real time. This approach leverages Instacart's network of more than 600,000 shoppers alongside our execution expertise to reduce out of stocks, improve compliance and drive stronger ROI for our customers. We closed over 6 million distribution voids and out-of-stocks each year, and this new partnership will enable us to do more of this and do it faster than anyone in the industry. The early results of our 200-store pilot have been encouraging and the partnership will scale into additional markets in 2026. The partnership reinforces our commitment to data-driven execution and technology-enabled growth. We also continue to roll out our centralized labor model, which we believe will significantly strengthen our high-volume labor businesses in our retailer and Experiential segments over time through increased utilization, which will drive higher retention and ultimately stronger execution for clients and customers. We see this as providing some benefit in the fourth quarter with acceleration in 2026. Our teams remain laser-focused on the fundamentals, deepening customer relationships, elevating our technology platform and driving better labor utilization in our highest volume service lines. These actions are helping us to operate with more consistency and improved execution in the market, which leads to a better experience for our customers. Turning to a review of our segments. We are adapting as we continue to operate in a dynamic macro environment. Inflationary pressures and a cautious consumer continue to curb demand. Last quarter, we noted that higher income shoppers remain more resilient while value-oriented consumers were becoming more selective, and we saw the trend persist in the third quarter. Accordingly, CPG companies and retailers alike are remaining increasingly cautious and sharply focused on stronger ROI on every dollar deployed. Our platform with its ability to drive efficient execution, informed decisions with data and improved commercial outcomes positions us well to help our customers compete and win. In Branded Services, we faced uncertain market conditions as tariffs, channel shifts and a softening growth environment continue to influence spending. While the decline in revenues and EBITDA eased sequentially, the business continued to face headwinds. The result was a reduction in commission-based revenues through scope and customer retention that was not fully offset by new customer wins and growth in incremental services within our existing client base. While the environment remains challenging, we continue to focus on investing back into this business, strengthening our value proposition and pursuing customers that can benefit from our core offerings, both near and long term. We expect branded services revenues and EBITDA to remain under pressure. However, we are encouraged with a larger pipeline of new business opportunities as we close out the year. Turning to Experiential Services. We had a very strong quarter with solid growth in revenues and EBITDA. Demand for events continued to rise, and we responded with increased staffing levels, resulting in higher revenues and incremental margin. Demo event volume grew strongly in the quarter, up 7% on an underlying basis and execution reached 91%. We continue to see strong demand signals in this business, and we expect improving execution in the fourth quarter as we enhance our talent acquisition processes even more. Retailer Services was down year-over-year in revenues and EBITDA. As we indicated in our last earnings call, this reflected a difficult year-over-year comparison and a shift in the timing of some project activity out of the third quarter. We also experienced a negative impact from ongoing channel shift toward club and mass stores as well as some pressure from more cautious retailer spending. We remain focused on the controllables as staffing levels and execution rates continued to improve through the quarter, enabling stronger coverage and an ability to satisfy demand for projects. We view these staffing improvements, along with a healthy project pipeline as leading indicators of stabilization and recovery and are well positioned for improving revenues and EBITDA in the fourth quarter and beyond. While consumer behavior remains challenging, effective execution, transformation-enabled technology, a solid project pipeline and accelerating customer demand gives us confidence in the long-term trajectory of the business. Our diversified business model, which includes high-volume labor businesses, creates operating leverage and the disciplined execution, we can redeploy teams and flex staffing to meet customer demand, creating outsized incremental margin growth in the business. We also continue to improve our productivity through AI initiatives, which are accelerating efficiencies in our back office as well as sales tools and data analysis while engaging with vendors to build platforms and applications at scale. Taking into account our expectations for the fourth quarter, we are reiterating our revenue growth guidance of flat to down low single digits for the year. We are updating our EBITDA guidance for the year to include the Acxion Foodservice divestiture as well as the challenging macro environment, especially affecting our Branded Services segment and now expect mid-single-digit decline. We continue to expect unlevered free cash flow to be greater than 50% of EBITDA. We are encouraged by the strong cash flow performance despite the negative impact from a timing shift of our payroll period weighing on the working capital in the fourth quarter. We expect cash flow generation to remain strong, driven by continued working capital improvements, lower CapEx and benefits from our labor and efficiency initiatives. Our business is built to generate consistent cash flow. And as the transformation investments taper and our modernization work takes hold, we continue to expect strong cash conversion going forward. We are confident in the trajectory of the business and are taking the right long-term actions to strengthen our position and restore growth. We continue to focus on disciplined execution while improving our systems, technology and labor capabilities. I'll now pass it over to Chris for more details on our performance and guidance.
Christopher Growe: Thank you, Dave, and welcome to all of you joining the call today. I will review our third quarter 2025 performance by segment, discuss our cash flow and capital structure and expand on Dave's guidance commentary. In Branded Services, we generated $258 million of revenues and $42 million of adjusted EBITDA, down 9% and 15% on a year-over-year basis, respectively. This segment continues to experience challenges, mainly within the sales brokerage business, which we are working expeditiously to address as well as our omni-commerce marketing business. The softer growth environment for consumer packaged goods companies has weighed on our organic growth performance, and we continue to see some pressure around in-sourcing, which has been a headwind to growth. However, we took cost actions earlier in the year to improve our efficiency. We maintain a robust pipeline of new business opportunities, offering confidence in our ability to move towards stabilization in 2026. In Experiential Services, we generated $274 million of revenues and $35 million of adjusted EBITDA, up 8% and 52% on a year-over-year basis, respectively. Solid execution and the continued improvement in staffing levels enabled our teams to execute more events in the quarter. We were able to pull operational levers during the quarter to accommodate growing demand that was again ahead of our expectations. Events per day increased by 7% versus the prior year on an underlying basis, and we see momentum accelerating into the fourth quarter. Execution rates were approximately 91%. And given strong fixed cost leverage, we saw EBITDA margin improvement of 370 basis points year-over-year and up strongly on a sequential basis. We are beginning the rollout of our centralized labor model for part of our experiential business with the goal of further improving our efficiency, which will also support a better teammate experience as our teammates access an opportunity to garner more hours in the store. In Retailer Services, we generated $249 million of revenues and $23 million of adjusted EBITDA, down 6% and 22% on a year-over-year basis, respectively. As expected, we faced a challenging comparison to the prior year period and results were impacted by project activity timing. Additionally, advisory and agency work were impacted by channel mix. We are developing more bespoke services to increase our value add to retailers and focusing on expanding our services beyond the grocery store to other retail outlets. We maintain a strong and growing pipeline of new business opportunities in this segment. Across the businesses, shared service costs were down year-over-year in the quarter, which benefited profitability in all segments and reflects the stabilization of costs we expect to continue. Moving to the balance sheet and cash flow. We ended the quarter with $201 million in cash on hand, a notable increase from $103 million in the second quarter, driven by the improvement in working capital, mainly DSOs and the benefit of the $19 million in proceeds from the sale of our stake in Acxion Foodservice as well as the $22.5 million in proceeds in July related to the first of 2 deferred purchase price installments for June Group. We did not repurchase debt or shares in the quarter. Our net leverage ratio was 4.4x adjusted EBITDA, which is down from the second quarter, and we expect it to hold at this level in the fourth quarter. With cash on hand, expectations for stronger cash generation going forward and approximately $450 million available on our undrawn revolving credit facility, we have ample liquidity to operate the business in the current macroeconomic climate while investing for growth and opportunistically paying down debt. Turning to cash generation. We ended the quarter at approximately 62 days of sales outstanding, an 8-day improvement from the second quarter as cash collections continue to recover after the transition to our new ERP system. Optimizing DSOs has been a big focus for the organization, and we continue to make progress in reducing DSOs as we move forward into 2026, which will contribute to additional cash flow. CapEx was $11 million in the quarter. We now expect full year CapEx in the range of $45 million to $55 million, moderately below our previous guidance due to the timing of projects occurring this year and continued efficiency in our spending. Adjusted unlevered free cash flow was $98 million in the quarter, and the conversion rate was nearly 100%, driven by the stronger working capital performance as well as lower-than-expected CapEx. In addition, we made progress on transforming and optimizing our portfolio. During the quarter, we monetized our 7.5% stake in Acxion Foodservice for $19 million in cash proceeds. This divestiture helped streamline our portfolio and boost our liquidity position. We will continue to capitalize on similar opportunities that make strategic sense going forward. As Dave highlighted, our revenue guidance is unchanged, but we are adjusting our full year EBITDA guidance due to the divestiture of our stake in Acxion Foodservice as well as the more challenging macro environment. We remain encouraged by the sequential progress in 2025. After a challenging first quarter to start the year, we have seen a steady improvement in our operating performance, which has supported a strong revenue and EBITDA trend for the business. As indicated by our full year guidance, we expect a stable growth trend in revenue and EBITDA in the second half of the year, supported by strong execution across our labor-related businesses. The diversity and resilience of our business model supports this improved business performance and provides confidence in our path forward. As Dave mentioned, we continue to expect 2025 adjusted unlevered free cash flow to be above 50% of adjusted EBITDA. We lowered our CapEx spending outlook slightly again this quarter to a range of $45 million to $55 million, which will aid unlevered free cash flow growth for the year. Our expectation for interest expense remains in the range of $140 million to $150 million, assuming no additional debt repurchases. Robust cash generation is expected to continue in the fourth quarter. Excluding a $45 million year-end payroll shift into 2025 due to timing, we anticipate adjusted unlevered free cash flow conversion close to 100% and net free cash flow conversion of approximately 30% in the second half. We continue to expect our restructuring and reorganization expenses to be about half the level of the prior year, which is contributing to our stronger net free cash flow performance in the second half and the year. Our business is designed for efficient and consistent cash generation, and we expect to return to our typical net free cash flow conversion rate of at least 25% of adjusted EBITDA next year and beyond as our transformation improves our services and modernizes our processes for more consistent and efficient results. Thank you for your time. I will now turn it back over to Dave.
David Peacock: Thanks, Chris. We believe our expertise and range of services position us well to navigate the current macroeconomic environment with resilience and agility. We continue to execute with discipline and advance the foundational work of the company. We are making measurable progress in improving our systems and workforce efficiency, strengthening the backbone of our operations and competitive positioning. At the same time, we continue to make progress toward completing the strategic initiatives that will enable Advantage to reach its full potential as a technology-driven industry-leading service provider and generate meaningful cash flow for our shareholders. Operator, we are now ready for a Q&A session.
Operator: [Operator Instructions] Our first question comes from Lucas Morison from Canaccord.
Lucas Morison: So maybe just to start here, discussing the EBITDA outlook and the minor trend there. Can you just frame like how much of that change was related to the divestiture versus core operations?
Christopher Growe: Yes, I can go. Luke, good to speak to you. Welcome to Advantage. In the fourth quarter, so we had an EBITDA contribution from that stake, like we do with other joint ventures that we have. It's a relatively small piece of the fourth quarter. And outside of that, obviously, you have this overall challenging macro backdrop that I'd say. But I'd just say we're bringing down a little bit, and there's one element of like business mix, never seen stronger growth from experiential versus branded as an example. So there's a little bit from the divestiture and a little bit from that just general macro environment that we're incorporating into the guidance here.
Lucas Morison: Got it. Makes sense. And then maybe just like thinking bigger picture longer term, it sounds like experiential continues to outperform. Branded services and retailer are kind of softer and lagging. Can you just talk about like how you see the overall portfolio mix evolving as we enter 2026? Do you expect experiential to remain the primary growth driver? And do you see stabilization in branded and retailer returning the model to a more balanced footing?
David Peacock: Yes, Lucas, this is Dave. Yes, we do see experiential continuing to perform well, and we see continued demand in that segment. And then as it relates to branded and retailer, and we talked about it in the second quarter and just here again, retailer is really facing a little bit of an anomaly in the third quarter. We feel very good about the retailer segment and its outlook as we move into 2026, especially the merchandising services, which is the largest component of that business. And then on the branded side, we expect sequential improvement as we move through 2026. Obviously, the macro backdrop affects that segment more than the others. But we recognize that the efforts we're undergoing to kind of get the business back where it needs to go are starting to pay off. And our pipeline for the fourth quarter as we end the year of new business is very strong. So we have optimism of a more stabilized branded services as we move into 2026.
Operator: Our next question comes from Greg Parrish from Morgan Stanley.
Gregory Parrish: Maybe to start, I just thought it would be good to hear maybe an update on the market and the consumer. Obviously, hearing a lot of softness out there, especially on the lower income side this week even from some restaurants. So maybe kind of just update us on what you're hearing from your clients in store.
David Peacock: Yes. Thanks, Greg. And I'm glad you asked that question. We make the rounds with leadership across most of our clients and customers on a quarterly basis. And obviously, everyone has been tracking the consumer and the retail names pretty closely over the last couple of weeks and a little bit mixed. You see some positive results for some. But for the most part, you're seeing guidance down or a little more of a negative tone relative to the consumer. I do think we've got 2 realities. You've got, call it, kind of higher income consumers still remaining resilient, still shopping, still realizing trip and what have you. But when you think of all the things that have hit consumers more broadly and especially those on the lower end, you've got pricing that largely rolled out at least in the businesses that we work with. Not all of them, but a lot of them in the kind of late second quarter, early third quarter. And there was a byproduct of tariffs or tariff concerns. There was a byproduct of commodities in some large categories. You've got the continued GLP-1, which on the food side does have some effect on demand. And then you just -- if you look kind of longer term, you've got a little bit more constrained population growth. And it's not just immigration reform, but it's also birth rate is actually -- if you look kind of back a few years and look forward, it's lower. So I think that's created some of the environment we have. Now I think there's a belief that there's some cyclicality to those -- some of those dynamics. If you think of being GLP-1, there'll be a lapping of that eventually and the growth of the adoption of that will slow. Number one. Number two, I think you see a lot of CPGs and even the private label side leaning into innovation and innovation can spark growth within these categories. And then you have different realities across different categories. So categories that are protein-centric, categories that are expandable consumption, categories that lean a little bit more on the health orientation continue to show pretty strong growth. And then you've got obviously other categories maybe they're struggling a little bit. So I think that it's -- as we move to '26, a little bit of cautious optimism that '25 was a pretty tough year for the consumer and some hope that some of the factors on the margins that have affected the consumer, especially on the low end, are mitigated a bit and taper a bit as we move into '26.
Operator: Our next question comes from Faiza Alwy from Deutsche Bank.
Faiza Alwy: I wanted to -- you mentioned timing as it relates to retailer services, and it sounded like you're a little bit more optimistic on that business as we look ahead. So just talk a bit -- just put a finer point on the timing issues and talk more about the visibility and pipeline that you're seeing into next year.
David Peacock: Sure. Thanks. To be clear, so third quarter was a combination of a difficult comp due to the timing of project work last year, not all of which is going to be repeated this year. And then also the timing of some project work, as you saw in the second quarter, retailer had a pretty strong quarter, and we do anticipate improvement in the fourth quarter. When we zoom out and look at the year, because I know we all look quarter-to-quarter, but I like to look at the year, the retailer segment will be for us, I think, largely in line with expectations, but for some of this kind of macro consumer impact that's obviously affected retailers that hit probably a little bit of our advisory business, a little bit on the merchandising services side, only in the retailers will pull back investment a bit on the project work. The continuity work continues, but it is important to understand that the continuity work is also funded by a flow-through of revenue for the retailer. And then when we talk about the pipeline as we go into 2026, our business development team, and we've really redoubled efforts there, has really done a nice job building a pipeline really across, if you will, all our segments, but especially the branded segment. And we're seeing just better success as it relates to closing on opportunities. So we're optimistic as we look out into '26 and the ability as we lean into this business development effort. And it's a byproduct of all the work that's been done by our teams around talent upgrades, which is a combination of some new people, but a lot of training, investment in technology and our data lake is now paying off with more robust and faster data at the fingertips of our sales teams because as you can imagine, that's the most critical factor in helping drive client performance is having deep and what I'd say, fast insights relative to what's happening with brands and SKUs so that they can make decisions around promotion schedules, merchandising plans, what have you.
Faiza Alwy: Understood. And then I guess just a similar question on branded because I think you're saying that you're expecting declines to moderate into 2026. Like is that because of, again, some of these business development efforts that you're talking about? Or do you think like market conditions or the macro environment is likely to improve into 2026?
David Peacock: I mean, look, it's a lot of the work that I was describing before, which is the business development and just improving what I call the machine, the sales machine about underpins that Branded Services segment because so much of it is in how we represent our clients with retailers on the sales side and the headquarter selling support. And then also on the retail merchandising side, with our Instacart partnership, especially being able to demonstrate ROI in the services we provide and addressing out of stocks. We mentioned in the prepared remarks, we're close to 6 million out of stocks a year. If we can leverage the relationship with Instacart to identify those more quickly and close those faster, that's just more sell-through, which both benefits us and our clients. And then -- I mean, look, I believe opinion of one, that the industry, like I mentioned earlier, it has some cyclical aspects this year that likely won't repeat or the industry, as I say, learns to adjust to a new environment and some of the uncertainty that you heard a lot in the first half that I don't think you're hearing quite as much in the second half is probably an example of the industry, if you will, and companies kind of learning how to manage in this new reality. And I personally remain optimistic that the macro market should be a little bit better for the consumer as we move into 2026.
Operator: Our next question comes from Greg Parrish from Morgan Stanley.
Gregory Parrish: Okay. Yes. So I don't know what happened, perhaps user error -- thanks for coming back. Chris, I just want to clarify on the EBITDA guide. So I think you said like stable second half. And then -- I mean, obviously, the mid-single digits, you can kind of plug in a lot of numbers the fourth quarter and get to that. So you've had improvement every quarter in the year-over-year EBITDA. Third quarter, you're down 1. So like sort of similar level, maybe a little bit better to flattish. How do we think about the year-over-year 4Q EBITDA relative to third quarter?
Christopher Growe: Yes. And I think relative to the third quarter, Greg, obviously, there's some nuances year-over-year. We do expect experiential to have a very good quarter. We mentioned retailer gets better in the quarter. There's a tougher comp on the branded services side, just given some of the activities of a year ago in the fourth quarter. That mid-single-digit growth is meant to have a range, and it would get you to a relatively flat second half overall, certainly for revenue and then like a flat to down level of EBITDA overall. And I think that's just where we keep it right now is right at that level and gives us a little bit of flex for the fourth quarter here.
David Peacock: Yes, Greg, I'll jump on Chris' response, too. I mean if you really look at our year without digging in detailed fourth quarter, let's talk about second and third, we all know we had a rough first quarter, and there was a couple of things. We knew when we implemented SAP that given our business and the fact that working capital is really driven for us by DSO and the impact that, that implementing SAP can have on cash collection and what have you that from a DSO standpoint, it would be a rough period. We also knew we were transitioning to more centralized talent acquisition and workforce planning. And with any transition, you're going to have bumps. So we have that hiring shortfall. What I'm excited about is the team is hiring for us a record pace and doing a great job in bringing in more and more talent to address the increasing demand we have in the labor parts of our business. I'm also excited, and I think we don't always acknowledge we have had a very good SAP implementation. And we've had a team that's really pulled together even amidst a challenging kind of broader environment and done a great job and to see our DSOs kind of back to close to where we were at the end of last year. Basically realizing about a 6-month challenge just given the implementation. We've all seen some of the other stories of more difficult or challenged SAP implementations. And I just want to note that our team has done a phenomenal job in implementing that amidst everything else going on in the industry. And I think it's an example of the ability to execute both projects but also on a day-to-day basis in driving the business.
Gregory Parrish: Yes. Okay. And maybe one more each on the segments here. Maybe just experiential, you've been recovering from labor shortages. Like how much of this -- you talked about demand a lot this quarter. So really trying to unpack like how much of this is staffing up versus like real demand increases? And then how do I think about that heading into '26? And like how sustainable is the growth here, especially given the backdrop of you're recovering from COVID and staffing up post-COVID. And then as we reach normal here, what's going to sustain growth going forward? How do we think about that?
David Peacock: So events per day grew 7% and execution, frankly, was only 91%. What that implies is while we were able to satisfy an extra about 850-plus events per day during the quarter, we could have done more. And for us, it's why I'm even optimistic about the fourth quarter as we move into '26 because our -- the fidelity of our hiring and onboarding machine, if you will, is improving every day. And so -- and then demand is there. I mean there was -- I would argue, unmet demand in the third quarter that we could have capitalized on and even with a great talent acquisition and onboarding process. So there's more to be had. I think the other thing you see is COVID is in this space kind of long in the rearview mirror. There are some retailers that have opportunity to kind of get back to that COVID level. There are a number of retailers that are at that level or beyond. So we're not doing that comparison back to COVID as we used to do because this is now just underlying growth and demand for this business. And part of it is, as I mentioned earlier, the innovation that's going on within the industry, number one, especially on the consumables side. And then you are seeing some sampling efforts around general merchandise, and it's crazy that sounds. But we've got a program this year with one retailer around toys and having kids kind of be able to see in parents. So as they start planning for holidays, maybe driving those categories for these retailers a little bit more. So this is a segment that's going to continue to exhibit growth. And I'm just really proud of the team for meeting the demand and yet at the same time, challenging them every day to continue to find ways to both make the experience for our teammates as the best they can be and continue to bring more teammates in to meet this demand.
Christopher Growe: Greg, to add a couple of points here. I think from a high level, what I wanted to add was that these activities and this investment that retailers and/or CPGs make drives a return. So I think with the fact that you've got a return on this investment and you've got enough activity going on, there's a desire to want to lean into it. It also helps drive traffic. So there's a lot of good features of this business that can help differentiate a retailer. The other thing I want to say was that we've had pretty solid pricing here, which gives us an ability to offset some of the incremental inflation in labor. So -- and then when I wrap it all together with the incremental demand and the pricing coming through to help offset some of the incremental investments we're making in wages and with our teammates, we've got a really strong incremental margin. So that really shined through in this quarter. And I think that's something where we can -- we should continue to see some of that incremental margin benefit as this business continues to grow.
Gregory Parrish: Yes. Okay. That's all very helpful. And maybe just to wrap here, touch on branded and some of the comments you made. With the backdrop, I know it's been a very challenging market there. You called out some new customer losses. And then I think you mentioned in-sourcing on the call here as well. If you could unpack those 2. And are the losses to competitors? Or is that losses to in-sourcing? Or is both happening? And then is there an uptick of in-sourcing that you're seeing? I just wanted to maybe clarify that.
David Peacock: Yes. I think when the comments were made, it's a little bit more of a longer-term trend that we've seen relative to in-sourcing. And like most trends that we envision that ultimately tapering because you get to a point where you kind of in-source the accounts, if you will, that you want to call on. We've obviously seen some of that this year. We have had some losses to competitors as well. And then we've had wins and wins from those very same competitors. In fact, this year was a very good year from a win standpoint. So -- and then we have to look at kind of net losses and wins. And we're constantly assessing the drivers and what I'll call the sales action plan that we started in earnest in the summer -- in the early part of the summer was to address the kind of root causes of that. And I think this notion of being the fastest in the industry, identifying, again, the root cause of any sales issue or opportunity our brand or SKU and be able to proactively action that on behalf of our clients has been the focus of our efforts. So that combination of work and the upskilling of both the technology and talent against that with, again, as you heard, a little bit, at least in my view, of some optimism on maybe a little bit better macro environment next year and the fact that our business development efforts are really bearing some fruit as it relates to pipeline gives us some optimism to see that business start stabilizing and obviously improving as we get into '26.
Christopher Growe: And I might just add a quick comment on there, Greg, around the -- just 2 dynamics. We talked about the in-sourcing. I think that would be the predominant area of loss, if you will. But then beyond that, just there's been organic growth softness. We've talked enough about a challenging macro environment, but that definitely was a weight on the quarter and has been for the year, frankly. So we can't dismiss that because it's a pretty meaningful contributor to this. Dave mentioned the large pipeline. That's actually just even accelerated in the third quarter. How we can go execute that pipeline. Let's be clear, but that's something I'd just say it gives you a lot of optimism in terms of the business going forward. And I just want to add one other element around the omni-commerce. There's a marketing business within this as well. It's been -- you can look at the industry trends there it's been a little more challenged. That's been also another, call it, factor in our softer revenue growth performance in this business.
Operator: There are no further questions at this time. I want to turn the call back over to David Peacock for closing comments.
David Peacock: Yes. We want to thank everybody for joining, and we look forward to connecting with this group on next quarter, and we will talk then.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for participating.